Operator: Ladies and gentlemen, welcome to the Merck Investor and Analyst Conference Call on Third Quarter 2022. As a reminder, all participants will be in a listen-only mode. I'm now handing over to Constantin Fest, Head of Investor Relations, who will lead you through the conference. Please go ahead, sir.
Constantin Fest: Thank you very much, Xanga. Dear ladies and gentlemen, a very warm welcome to this Merck Q3 2020 results call. My name is Constantine Fest. I'm Head of Investor Relations. I'm delighted to have here today with me, Belen Garijo, Group CEO; as well as Marcus Kuhnert, Group CFO. We are also being joined for the Q&A part of this call by Peter Guenter, CEO of Healthcare; as well as Matthias Heinzel, CEO of Life Science, and Kai Beckmann, CEO of Electronics. In the next couple of minutes, weâd like to run you through the key slides of this presentation. And right after that, we'll be happy to take your questions. Having said that, I'd like to now hand over to Belen to kick off the presentation. Over to you, Belen.
Belen Garijo: Thank you, Constantin. Good afternoon, everyone, and welcome to our Q3 earnings call. Let me start with the highlights on slide number five of the presentation. First and foremost, we had a strong third quarter mainly driven by life science and healthcare. Organically, Group sales increased 7.1% and EBITDA pre rose by 7.5%, so faster than sales. Together with significant currency tailwinds and a small portfolio effects related to accelerate report sales and EBITDA pre amounted to â¬5.8 billion and â¬1.8 billion respectively. EBS pre of 2.68 was up 20% year-on-year. We delivered this growth despite a very challenging external operating environment as you will know. Global economic activities experiencing a broad base of slowdown, inflation continues to rise to rise to levels not seen in decades and the risks to the global economy outlook remain very significant. Just think of the tightening financial conditions in most regions, the ongoing pandemic and of course, multiple geopolitical tensions, starting by the Russia's war in Ukraine. However, as recently discussed with all of you, as our region Capital Markets Day, our company is highly resilient and solidly positioned to navigate these uncertain times. Based on our multi industry setup, we are generally less exposed to macro economic downturns. Plus, we are focusing on markets with robust underline upwards dynamics. We have an exceptionally strong financial backbone. We are executing on our growth strategy and we continue to improve our supply chain resilience to cope with the challenges even better. And as such, we are not only equipped to weather the current turbulent times, but we believe that we can emerge from this global crisis with additional competitive advantages in certain areas such as semi materials. Q3 is simply another case in point, despite major external headwinds in individual areas, specifically display solutions, we deliver strong growth. And that was, thanks to the excellent performance of our Big 3, our major growth engine. We also made further progress in delivering our strategic agendas, which highlights including our â¬130 million investment in Molsheim to strengthen our single use franchise in Process Solutions, or the acquisition of the chemical business of Mecaro to continue to drive innovation in semis and also encouraging data updates for our healthcare latest stage blockbuster potential candidates of Evobrutinib and Xevinapant. Above all, we confirmed today our absolute guidance ranges for 2022 for both sales and EBITDA pre as well as for the EPS pre. With the deal  coming to an end we now forecast group net sales in the range of â¬22 billion to â¬22.9 billion, EBITDA pre of â¬6.8 billion to â¬7.2 billion and EPS pre of â¬9.9 to â¬10.7 years. And more details on our assumptions will be shared later. Moving into slide number six to offer a bit more color on our performance by business sector. You'll see that all three business sectors have contributed to our strong organic sales growth in Q3. The Big 3 process solutions and life science services, semiconductors and the new healthcare launches are fully on track and accounted for close to 80%. organic growth in Q3. Life science had another strong quarter with sales up 9% organically. Healthcare also performed nicely with organic growth of 9% and electronics was slightly up. Currency provided a significant tailwind across the board, adding 9% to both group sales and EBITDA pre. In addition, with a small portfolio effect stemming as I already mentioned, from the acquisition of Exelead. Within Life Science growth was driven by continued strong performance of the core business, up 16% organically, which more than offset the anticipated decline of COVID related sales against that comparables. Process Solutions was once again the main contributor with organic growth of 11% and an excellent 31% organic growth excluding decline in COVID sales. SLS, Science and Lab Solutions delivered strong organic growth of 8% while Life Science Services was muted at 3% due to some volatility in the CDMO business, which as you may recall, delivers significant growth in Q2 and Matthias may further comment during the question and answers if this is needed. The strong sales increase in healthcare was driven by 26% organic growth of recent launches and solid mid single digit growth in the established portfolio. Here, we got a benefit from lower comparables and channel dynamics that can be also discussed during the Q&A and a catch up effects in emerging markets. In electronics our semiconductor solution business, which meanwhile contributes 70% of the electronics sector sales continues to shine with organic growth of 15% against rising comparables. Surface Solution was up 4% together with strong performance of semis offsetting a 32% decline in display solutions. Regarding earnings, Group EBITDA pre amounted to â¬1.81 billion in Q3 building strong margin of 31.2% on par with prior year despite significantly higher input cost. Let me conclude this part with a few remarks on our sales by region. In Q3, all regions have contributed to the positive organic development lead in absolute terms by growth of 10% in Europe and 7% in North America. Low single digit growth in Asia Pacific was mainly related to a significant decline in liquid crystals, while other businesses perform strongly, including catch-up effects in China following the lockdowns in Q2. Our smallest regions, Latin America and Middle East and Africa both generated strong double digit growth. Overall, Q3 again demonstrates the advantages and the strength and the resilience of our globally diversified business. And discussed with you at the recent Capital Markets Day, we will continue to drive regionalization of our manufacturing footprint and further strengthen our supply chains to serve regional demand, to improve our customer proximity and to reduce our network risk. And with this, let me hand it over to Marcus for additional information on our Q3 financials.
Marcus Kuhnert: Thanks Belen and welcome also from my side. and now switching over to slide nine, for an overview of key figures for the quarter. Overall, we had a strong Q3 with double digit growth of sales and earnings. High single digit organic growth was complemented by a major boost from foreign exchange, and as Belen mentioned, a small portfolio effect from Exelead. First, net sales increased 16.8% to â¬5,806 million. BITDA pre was up 16.7% to â¬1.81 billion, and EPS pre rose almost 20% to â¬2.68. Operating cash flow came in at â¬1.55 billion and up 5% year-on-year as positive effects from increased earnings were partly offset by higher tax cash out and also higher net working capital. Net financial debt increased by close to â¬500 million compared with the end of December mainly driven by temporary investment of excess cash. In other words, the purchase price for the acquisition of Exelead, higher CapEx and the dividends have already been more than covered by the solid free cash flow calculation year to date. Accordingly, the net debt-to-EBITDA pre ratio remained stable at a level of 1.4 times.  Please also note that headcount has increased 5% year to date to support our growth ambitions. Let me now briefly comment on our reported financial results. I'm on slide number 10. EBIT increased by â¬187 million in the third quarter in absolute terms. This is â¬71 million less than EBITDA pre gross, mainly due to higher adjustments and higher D&A. The financial result improved by â¬7 million, as a better interest result was partly offset by higher LTIP provisions. The effective tax rate came in at 22%, which is at the lower end of our guided range. And as a result, net income and reported earnings per share both rose by 21%. You may have seen that we have improved our interest result guidance for 2022. Please note that this includes a total of about â¬40  million income related to the recent buyback of our -- partial buyback of hybrid bond and also new tax rules in Germany earlier this year. This will disappear in the next year. At the same time, we are trending towards the lower end of our effective tax rate guidance for 2022. And we expect to fall below the corridor -- the current corridor when we walk into 2023. As usual, we will provide concrete guidance on the interest result and effective tax rate in 2023 with our Q4 results in March. So this is just a heads up for you to help with the modeling and on balance, we expect these effects to be about neutral for EPS pre next year. With that, let's move on to the revenue by business sector. And I start with Life Sciences on slide number 11. As you already heard it from Belen, Life Science had another strong quarter with sales up 8.7% organically. Growth in the core business was again an excellent 16% on par with Q2 and more than offsetting a slightly more pronounced impact of COVID of minus 7%. Total COVID related sales were down by about 30% from the peak in Q3 last year, and sequentially about stable due to auto phasing and fully in line with our expectations. Portfolio wise, process solutions remained the key driver with organic sales growth of 11%. Here the core business increased by a record 31%, while the impact from declining COVID sales was minus 20%. Lead times improved further and key portfolios such as single use and filtration, supported by the ongoing ramp up of new capacities. Order intake continue to decline as expected and book-to-bill was slightly below one. This means we were able to reduce some of our still significant backlog which is good news. Turning to Life Science Services. Growth was muted this quarter at 3%, organically. This reflects a 17% dip in the core business more than offset by a positive impact from COVID related sales of 20% due to auto phasing. The more mature contract testing business continue to show double-digit growth, while the CDMO business was impacted by unfavorable batch phasing and attrition in the clinical pipelines of our customers. Science and Lab Solutions had a strong quarter with sales up 7.9% organically, supported by positive pricing and growth across almost all business lines. Lab Water and Biomonitoring again made it into double digit territory, the core business was up 9% organically, while the COVID impact was small, at a minus 1%. Geographically, we posted double-digit organic growers in almost all regions. From a customer perspective, sales in our largest customer segment pharma and biotech grew organically in the high single digits. While diagnostics and academia were at mid single digits, and industrial and testing even exceeded the 10%. With regard to earnings, EBITDA pre came in at â¬976 million growing 10.8% organically with a strong margin of 36.4%. This was slightly down year-on-year by 20 basis points mainly due to currencies. A favorable product mix in the core business, robust pricing and operating leverage were broadly offset at the margin level by a lower share of COVID business, ongoing strategic investments and input cost inflation. Moving on to healthcare on slide 12. Here the quarterly sales correct the â¬2 billion mark for the very first time. Of course, it was this was supportive, FX tailwinds. However, organic growth was also very strong, in fact, even slightly higher at 8.7% based on 26% growth of the recent launch products and a very solid 5% growth of the established portfolio By franchise, oncology led the growth again with sales up 25% organically. This was driven by continued strong ramp up of Bavencio, growing 51% organically year-on-year and 14% quarter-to-quarter. Let me also highlight the strong performance of Erbitux at 14% including double digit growth in China post Erbitux head and neck inclusion in the NRDL earlier this year. The N&I franchise was up 2.3% organically with 10% growth of Mavenclad more than offsetting a just minus 4% decline of Rebif. However, please note that Rebif benefited from one of channel dynamics and lower comps in the third quarter. Our fertility franchise returned to grow the sales up 2.6% mainly thanks to a fading impact from the lockdowns in China. Sales in CM&E increased 6% organically supported by strong performance of Euthyrox and Saizen across regions by Glucophage returned to growth. Regarding our pipeline, highlights include recent updates to late stage potential blockbuster candidates. For Evobrutinib, we presented new data at ECTRIMS demonstrating sustained clinical benefit for people with relapsing multiple sclerosis through three and a half years of treatment, the first BTKI to do so. For Xevinapant, we presented five-year data at ESMO that showed survival rate nearly doubling in patients with unresected locally advanced, squamous cell carcinoma of the head and neck when added to standard of care. In addition, the second Phase 3 study of Xevinapant, the Xray vision in SCCHN. In resected cisplatin-ineligible patients started and is now recruiting patients. We will talk more about CDMO and other r assets in development at the R&D update call on the 21st of November. Regarding earnings, EBITDA pre amounted to â¬711 million, leading to a strong margin of 34% supported by currency. Organic EBITDA pre growth of 11% exceeded sales growth amid controlled cost development, including R&D phasing and the one-off channel dynamics mentioned earlier. In terms of income from active portfolio management, we recorded a low single digit euro million amount in Q3 and hence now close to â¬40 million in the first nine months of the year. Accordingly, we raised our full year guidance for income from active portfolio management from a low to mid double digit to a mid double digit million euro amount. This means, we may see a further modest contribution in the first quarter. Looking to 2023 and thinking about pushes and pulls for the margin, I'd like to say the following. On the one hand, wage inflation could become more significant and we are ready to invest in pre commercial activities for the Evobrutinib launch. On the other hand, we should see some margin support from a higher share of new products and cost discipline including R&D. The net effect remains yet uncertain and we plan to give you more color with our Q4 results in March. Turning to electronics on slide number 13. For the first time electronics correct the â¬1 billion mark in terms of quarterly sales supported by FX, while organically sales were only slightly up by 0.4% in the third quarter. Semiconductor solutions, our key growth engine electronics continues to perform strongly with organic growth of 15% against rising comps. Fossil fuel for high teens growth and semi materials supported by volume and pricing. And with growth across all material categories, including thin film patterning and spec gases. Important underlying drivers to mention include new notes and fabs and leading edge. In addition, we saw further growth in DS&S fueled by strong equipment sales. Growth was not as high as in previous quarters due to annualization of the large projects, which we first flagged in Q3 2021. At the same time, we have already signed a new large turnkey project of a similar size. Sales display solutions were down 32% organically mainly due to a significant demand slowdown in the display value chain, especially for liquid crystals, and hence much lower plant utilization at key customers. Surface Solution generated solid organic growth of 4% as softness in industrials was more than offset by strong sales in coatings and cosmetics. EBITDA pre amounted to â¬302 million, implying a solid margin of 29.1%, down however 260 basis points year on year, despite the support from foreign exchange due to the very challenging macroeconomic conditions. Organically, EBITDA pre decline minus 14.8% primarily due to display solutions, amid inflationary pressures and capacity ramp up for future growth. Importantly, please note that the semi margins remain intact. Before I hand back to Belen for the outlook, let me briefly comment on our balance sheet and cash flow statement. As you can see on slide 14, our balance sheet expanded by â¬5.5 billion compared to the end of December. The main drivers behind this development are business growth and currency. On the asset side, cash and cash equivalents decreased largely driven by temporary investment of excess cash that will be reversed by the end of the year. Receivables and inventories increased on higher sales, inflationary effects, higher safety stocks and FX, and the intangibles were higher on FX and the acquisition of Exelead. On the liability side financial debt slightly increased due to the issuance of a new bond. Pension provisions were down primarily due to actuarial gains from rising interest rates, and that equity increased, thanks to growth and profit after tax, actuarial gains and positive FX effects. As a result, equity ratio improved further from 47% at the end of December to 56% at the end of September. Turning briefly to our cash flows on slide 50, operating cash flow in Q3 came in at â¬1.55 billion, up â¬85 million year-on-year. This reflects higher earnings and strong cash conversion of 86%, but also higher working capital in particular higher inventories due to inflationary effects and higher safety stocks. Cash out for investing activities was roughly stable, although CapEx increased by â¬89 million year-on-year to support our organic growth initiatives. And last but not least, the difference in financing cash flow can be explained by higher net repayments of financial debt in the year ago period. And with that, let me hand back to Belen for the outlook.
Belen Garijo: Thank you, Marcus. Please move to slide number 17 to review the full year guidance for the group. First of all, let me reiterate. Our Q3 results has been very strong. Again, with excellent resilience growth in a challenging external operating environment. And looking ahead, we believe these headwinds will remain for sometime and eventually may get even stronger. Nonetheless, we remain firmly committed to our mid-term ambition of 25x25 and fully confirm our absolute sales and earnings target corridors for 2022. In fact, we have became a bit more precise now guiding to group net sales in 2022 in a range of â¬22 billion to â¬22.9 billion, EBITDA pre in a range of â¬6.8 billion to â¬7.2 billion and EPS pre in a range of â¬9.9 to â¬10.7. And this based on organic sales growth of 6% to 8%, and organic EBITDA pre growth of 5% to 9%. So, while we have tweaked slight the appearance of the organic sales growth guidance, our organic EBITDA pre growth remains unchanged versus our communication in cost. Also our currency assumptions remain the same as before. And we expect tailwinds of 5% to 8% for sales and 6% to 8% for EBITDA pre. Let me now share a bit more details on our guidance by business sector in a slide number 18. As you can see, we continue to expect organic sales growth in 2022 to be supported by all three business sectors. However, we now expect organic, organic EBITDA pre growth to be driven by Life Science and Healthcare. In Electronics we have become more cautious on both organic sales and EBITDA pre development in 2022. And this is mainly due to the significantly lower demand for liquid crystals materials related to lower fab utilization at customer level. We remain very confident in the strong performance of semiconductor solution this year. I already mentioned semi make 70% of the revenues of electronics. But as we told you at the capital market today, we anticipate a potential market slowdown next year. At the same time, the meter outlook for semi remains highly compelling, given first, the strong underline megatrends, and second, our proven ability to overtake the market in the segments Turning to Life Science, we confirm our organic sales growth guidance and continue to see the core business as the main driver. Please note that we expect growth of the core business to normalize around Q4 and into next year. Our COVID assumptions remained unchanged. That is, we expect COVID related sales in 2022 of up to â¬450 million in Process Solution, up to â¬250 million in Life Science Services, and around â¬100 million in science in Science and Lab Solutions. So a total of â¬800 million which is what we have communicated in our previous calls. Also, as we mentioned, at the Capital Markets Day, we expect total COVID sales to decline further by at least 50% in 2023. Earnings wise, we have become slightly more optimistic about organic EBITDA pre growth in Life Science in 2022, mainly due to slightly lower OpEx. For healthcare, the story is very simple. We fully confirm our organic growth guidance for both sales and EBITDA pre with recent launches sustain the main drivers of growth for healthcare. And with this, let me thank you for your attention and your patience. And now we will be happy to take your questions.
Operator: Thank you. We will now begin a question and answer session.  First question comes from line of Richard Vosser from JPMorgan. Please go ahead. Your line is open.
Richard Vosser: Hi. Thanks for taking my questions. Two please. Firstly, just on the Life Science or the Process Solutions business. Wondering if you could give us a flavor of the underlying book-to-bill ratio. I understand it's under below one for the overall business. But ex COVID, how does that look. And link to that, just given -- I think you said a bit of normalization of the order intake over into 2023. Take it bearing that in mind, but the very significant order book that you still have at a good level. How do you see that translating into growth over the next 12 to 24 months? And then the second question is just on the semi materials business in electronics. Very, very strong growth again. I think you've been pointing towards the idea of wafer volumes declining into 2023. So how should we think about the next few quarters of that business as we go forward? Thanks very much.
Matthias Heinzel: Hey, Richard, its Matthias. Let me take your first question around PS and the book-to-bill. Indeed, I mean, over the last several quarters, we have had very elevated book-to-bill ratios for the entire PS business way above 1.3 , 1.4 . And obviously, that was a result of our long lead times. So as the lead times are now coming down, we had expected and communicated that before that the book-to-bill ratio would be for a few quarters below one. And that's what we have seen already in the last quarter where it was close to one, now it's coming down. We still see a very strong kind of core business. We had 24% core. Last quarter, we have 31%. This quarter, we're very confident given them the business prospects that continue to see a strong business growth in the core, but it will kind of normalize. So I would give you one anchor point, certainly our midterm guidance, actually for total Life Science, and especially also for Process Solutions. So I would suggest over the next few quarters, that we will see kind of a normalization towards that midterm guidance.
Kai Beckmann: Richard, for the question. This is Kai speaking. Let me answer your semi question. And the picture we see ahead of us, maybe I would like to give you some flavor on our composition of the different areas in semi. So first of all, as was presented, we have another turnkey project in DS&S, that gives us a lot of additional opportunity in order to kind of avoid a cliff after the end of the current P3 project that we have announced a year ago. So now we have a continuous trajectory of additional turnkey opportunities. Second, the order book for our equipment business in DS&S is full. We building new capacity. So we are not impacted by any equipment indicator down to since we can sell as much as we can produce right now. That's a good sign. Third, we see in the current environment, predominantly, the memory, the trailing edge memory nodes going down in capacitors is leading to the MSI decline that you were referring to. That is our smallest area we service. So in trailing edge memory, that's a very small portion of our business. That's why we are less impacted by that. That has led in the past quarter since we integrated the zoom  to an outperform of the MSI from above 800 basis points. And that is, by and large, the number we have seen every quarter-on-quarter for the past two years. So that would turn, mean, the current projection for next year being down at minus 5% MSI development. We are not as pessimistic that this number would suggest. I think I gave you all the reasons why our composition should be rather strong.
Richard Vosser: Thank you very much.
Operator: Thank you. We will not take the next question. It comes from the line of Rosie Turner from Jefferies. Please go ahead. Your line is open.
Rosie Turner: Hi. Thank you so much for taking my questions. Two from me if I may. Sorry, just going back to semis. So I think you've got a comment on slide 38 around this shifting of the DS&S project into next year. So, can we just clarify does that provides a decent level of support then for 2023 kind of regardless of the rest of semis business? And then just thinking about the deal that we discussed at a Capital Markets Day, I think the plan is to kind of execute a transformational deal. Has there been any progress made there? Or the assumptions behind that still the same going forward? Thank you very much.
Marcus Kuhnert: I think Rosie, for the semi question, I'll take the semi question first and DS&S, the shifting in the next year. There's a rather technical situation. So what has shifted is the recognition of the revenue and the P&L since we have a accounting that is based on project progress that we have to consider here. So, it's already kind of being invoiced. However, not booked in the P&L rather technical. That was, of course foreseen in the initial projection of our landing in 2022 that is now captured in 2023. However, we only talk about one quarter here. So the rest is additional business in 2023 as I mentioned in my earlier answer. I'll let Belen on the flip on.
Belen Garijo: Hello Rosie, its Belen. Thank you for your question. As you know, during our Capital Markets Day, we were providing quite a nice update on our plans. At that time, we have spoke mainly about the financial capacity that has now grown to around â¬15 billion to â¬20 billion based on our good performance in recent quarters and years. And that this was given us the chance to move from exclusive bolt-on approaches and in licensing for pharma, for example, to eventually considering bigger moves, if the opportunity presents. So, our pipeline continues to grow. We continue to be very focused at the executive board level progress in our efforts, and obviously what you can expect is that we're staying within our strategic frame. And as we accelerate, potentially our organic outlook with inorganic moves around our Big 3 pillars.
Rosie Turner: That's it. Thank you very much.
Operator: Thank you. We will now take the next question. One moment, please. It comes from the line of Sachin Jain from Bank of America. Please go ahead. Your line is open.
Sachin Jain: Hi guys. Sachin Jain from Bank of America. Two sets of questions, please. One electronics and one process. So big picture question on electronics. Belen and Kai, you've mentioned a lot of times macro uncertainty, clearly gone into decline in electronics EBITDA for 2022. And there are various scenarios for decline, I guess next year. But I wonder if you could commit to group EBITDA growth for 2023 even if electronics is under macro driven pressure, given other divisions and productivity initiatives? And then secondly, on process. Two part question. One, underlying business accelerated sequentially 24 to 31. What's driven that? And I guess I'm trying to understand there, as if it's accelerating, why is it normalizing fourth quarter and then in early into next year. And you talked about normalization to low mid teens? Just to be clear, that's, I think ahead of where Danaher has guided for their normalization next year, a high single digit. So just checking you're comfortable with that? Thank you.
Belen Garijo: Hello, Sachin. Thank you for the questions. Let me address partially the first one stating what we have already communicated before that we are expecting our electronic business to move on a margin of around 30%. And now, perhaps Kai can add a bit more color on delivers.
Kai Beckmann: Sachin, its worth mentioning that the margin situation at semi is quite stable, despite all the effects that we have mentioned earlier. This was presented in Marcus slides. The pressure that we have seen this year that has led to the change in our guidance, it comes from the absolute contribution of Display Solutions that is under pressure right now. We hope from the current data that is softening that situation in the course of next year, that's at least the market data durability. And so that this part is easing, while of course the inflationary environment stays. However, margins in semi solutions are quite stable. That gives us definitely confidence for next year.
Matthias Heinzel: Yes. Hi, Sachin, it's Matthias. Related to your PS question. Yes, indeed, we have seen a temporary acceleration of our PS business, 24% last quarter, 31 this quarter. And it's really a result of two effects, right. We have brought new capacity online ramping up that capacity, at the same time with COVID kind of declining, we are able now to dedicate that plus additional capacity more to core kind of business growth. And we continue to expect to see that for next couple of quarters. However, it will be normalizing over the next several quarters. Again, I mentioned in the midterm -- to the midterm guidance it didn't play anything already for 2023. But expect for PS a very strong growth, core growth in 2023 and beyond. But at the same time, we need to acknowledge that the COVID kind of deceleration and Belen mentioned, the more than 50% decline next year. We're kind of being overlaid to that core growth.
Sachin Jain: Thank you.
Operator: Thank you. We will not take the next question. It comes from the line of Peter Verdult from Citi. Please go ahead. Your line is open.
Peter Verdult: Thanks. Peter Verdult, Citi. Two questions, please. Sorry, to Peter and Marcus. But it's semis and Life Science again. So firstly, Matthias, could you just quantify ballpark, the benefit you got in Q3 from the forward purchasing ahead of the price increases you put through in October? And perhaps just high level, just on pricing trends in Life Science, could you provide some ballpark figures for the percentage increases you've enjoyed in 2022 for the whole portfolio, and if you are willing to, Process Solutions in particular. And just anything you could say about how you feel about the outlook of pricing going forward? The reason for the question is I think you talk about 7% pricing next year, I just wanted to bounce that off to you in terms of consistency. And then Kai, sorry to come back to electronics. But just to be clear, the first few months of Q4, we've seen no softening in the trends and semis. And it's absolutely 100% a displace dynamic that has caused the change in guidance want to make sure that I've understood that correctly? Thank you.
Matthias Heinzel: Hey, Peter, let me take the first question. I mean, the pricing is a big lever for us right to offset inflation, and we have built good pricing momentum. I think I mentioned before, I feel we have a good strong pricing capabilities. And ballpark for the full year, it's still in the range, which I indicated before, we are about 2.5x historic levels, right, historically was about 1.2. And keep in mind, we're talking about net price effect. I'd obviously, the list price increases are higher, but then it counts what really sticks at the end. And that's around two point x across and obviously we'll do that in all our three businesses in PS, SLS and Life Science Services. To your question around the forward effect in SLS. It's small. It has an impact. But it's a small put forward. Because typically when you raise price, there's some anticipation from customers and they place an order earlier. But it's not a major effect in our numbers.
Kai Beckmann: And let me take the semi question. The change for the guidance was primarily on top line, the DS&S pacing to tweet as I explained in detail earlier, and EBITDA close the display situation as you stated. These were the two factors, by and large that has moved the needle for the ending of the year.
Peter Verdult: Thank you.
Operator: Thank you. We will not take the next question. It comes from the line of the Wimal Kapadia from Bernstein. Please go ahead. Your line is open.
Wimal Kapadia: Great. Thank you very much for taking my questions. So maybe just coming back to an earlier comment from UK on state semis being stable from a margin perspective. If historically suggested decent pricing power in semis in recent quarters. I'm just curious if that actually changes in an environment where MSCI is declining? It sounds like you still have this pricing power. But is that affected when the market is deteriorating? And then maybe just a last question on Pharma. Some of the older brands look particularly strong. And you flag emerging markets being a key growth driver. I guess is there any particular one-off you would call out in there? Is that just good underlying performance and should we really expect that level of momentum to continue in the upcoming quarters? Thanks very much.
Marcus Kuhnert: So let me take the semi question first. So the growth comes from three factors not just from the pricing side. It is mix a mix effect because we are faster growing our strongest business in films that has a positive mix contribution. Second, we have a very strong volume growth underlying. And then on top comes pricing situation in selected areas where we count inflation. But that's the combination. So this is, I think, a pretty resilient picture. It's not a picture which is only dependent on a single event as you may have suggested.
Matthias Heinzel: Yes. Wimal, to your question on Pharma. So I think Marcus has singled out clearly the one time effects on the Refib channel management. That besides that, there is nothing else that is really type of one-off, right? So you see that actually the performance is across the board. We have the contribution of the launches. We have a very healthy 6% growth of the CM&E business. We have a fertility coming back after the impact of the lockdown in Q2. And we are again trending upwards towards our mid single digit guidance for the midterm. Still with the caveat of potential volatility depending on basically what happened in China with additional lockdowns, you have seen also very healthy performance for Erbitux. We have mentioned to you in the Capital Markets Day that the product is really used more and more as a backbone for other therapies. We have plenty of studies ongoing, either by ourselves, either by, by other colleagues. So, I would say it's a pretty decent performance, basically across geographies and across franchises. 
Wimal Kapadia: Thank you.
Operator: Thank you. We will not take the next question. It comes from the line of Gary Steventon from BNP Paribas Exane. Please go ahead. Your line is open.
Gary Steventon: Great. Thank you for taking the questions. Firstly, if I could just follow up on the electronics margin case, because when you refer to the around 30% margin guidance, we've seen margins move up to the 32% level back in 2019. So now if the pressure is on display, it seems kind of sensible that that definition of around also extends 200 basis points or so to the downside. And so just wanted, yes, how confident you are that electronics margins can be kept within those, say plus to minus 200 basis point guard rails around that 30% level over the near term? And whether there's any levers you can talk to that you have at your disposal to protect the divisional margin from deteriorating further. And then, if I could also ask on Life Science services. You mentioned here that the near term volatility with the unfavorable batch phasing, which I guess it's just part of the business, but then also then attrition in the clinical pipeline. So on phasing, just anything you can point out to us for Q4, given we're almost halfway through the quarter now. And then on pipeline attrition, one of the largest CDMOs made a comment on seeing customers prioritize the development of earlier stage assets and calling it a cash conscious decision. And seeing that across large pharma customers and biotech customers. So just wanted to ask here, whether you were seeing any impact there too? Or whether the attrition is more just amplified by the business being smaller and customer concentration? Thank you.
Belen Garijo: Gary, let me just reiterate what I have said before to basically the same question. So we are reasonably confident, as I said before, that we will be able to deliver on the electronic margins of around 30%, as we have said before, despite the pressures that we have experience in display. Because we believe that sooner or later the display impact that we are taking right now is going to be reversed in the coming quarters.
Matthias Heinzel: Hi, Gary's. its Matthias. Let me address your question around LSS. And maybe in a context, right? LSS consists of two businesses. One is our testing business, which is well established. We have several 100 customers. It's very robust, resilient growth. And then we have indeed our CDMO business, which is the other half, a little bit more than that, where we're really starting from a much smaller scale to really grow their business. We're very confident. But as we mentioned before, given the smaller scale, and also the smaller number of customers, we have just kind of if you will fluctuating a little bit more. And as we mentioned, and you also echoed, we're little more depending on individual customer programs, right, and the result of those programs. And that's essentially kind of explaining the volatility, which will we'll see also through the next couple of quarters, but that does not jeopardize kind of our long term belief and commitment into the business. And that's basically the CDMO. It's not to address your that element of your question. Biotech funding has a certain impact that we're not seeing a major Impact, right? By and large, we have large pharma customers in our CDMO business, smaller biotechs. And yes, they may look a little bit more about spreading out the cost, but it's not it's not a major impact on the LSS growth.
Gary Steventon: Okay. Thank you very much.
Operator: Thank you. We will now take the next question. It comes from the line of James Quigley from Morgan Stanley. Please go ahead. Your line is open.
James Quigley: Right. Thank you for taking my question. So, one on Life Sciences, one on Pharma. So we follow up in Pharma. And in Science and Lab Solutions business had another quarter of really strong growth. But how are you thinking about the core growth outlook in the short to medium term with some potential headwinds like biotech funding. And what's going on biotech funding recovering and potentially recessionary impacts on things like academic funding, the NIH funding seems to be trending in a negative direction, which has historically been important for the research solution business and then also any potential impact on or potential impact on the applied segments from the global downturn. Then in pharma, follow up to Wimal's question on the January portfolio, particularly CM&E was pretty solid this quarter. So sort of thinking forward, is there any reason why those growth rates should start to slow? I know there was a fairly easy comp for some of the products within the CM&E franchise. But is there any other effects that might potentially lead despite the growth slowing down? And then just one very quick one on Mavenclad as well. Could you give us an update on how Mavenclad is performing geography geographically, so the split of U.S. and that protect U.S. sales? And then any, any comments on market share in the different regions, given the awkwardness and symptom of growing faster? Thank you.
Matthias Heinzel: Hey, James, it's Matthias. Let me start with your SLS question. Indeed, I think we are performing very nicely in SLS this year. Very good growth in Q3 with 7.9%. Here, certainly, it's also worth highlighting our strong pricing momentum. I think I explained that a little bit before, but it applies, especially also in our SLS business. We also see some effect in China right post the lockdown, which we've seen in the prior quarters, we see a nice, nice growth, they're picking up. So yes we're very confident about our SLS business. But also here, I would expect that we kind of migrate over time to our midterm guidance, which we provided the low to mid teens. And to address your question around a recession. I consider this a very resilient business, right? We're very widespread regionally. We have a quite a huge customer base in different sectors, right? It's academia, it's Pharma. It's academia, it's pharma, it's industrial. So again, I just want to repeat what I said. It's low to mid single digit, the midterm guidance. So I think I made a mistake. It's low to mid single digit, and we are very confident to achieve that. Right?
Marcus Kuhnert: Thank you, James, for the question. So on CM&E, what you have seen in this quarter with plus 6% is actually close to our guidance that we gave you for the midterm, which is mid single digits. So we are obviously very happy with this quarter. But there's no reason to believe that this momentum would stall in the future. It is kind of a diversified franchise within healthcare, many ups and downs, but you have seen in the slides that products like Euthyrox plus 12 size and double digit, the Concor growing 4%. So, it's really a very nicely growing portfolio. I remind you that especially in emerging markets, the number of patients treated for certain of those diseases remains extremely low. So there is in essence a continued volume opportunity that of course we are trying to take. Even if you don't ask the question on fertility, don't forget that in the established products, we also have a dynamic fertility business also a mid single digit guidance that we gave you. And then finally on Mavenclad, actually the dynamics that we are seeing since a couple of quarters have not fundamentally changed in country. So, we see a relatively stable U.S. business. So, less of an opportunity for us in first line, but we do gain market share in the oral market place mostly not exclusively, but mostly in the second line in the U.S. and ex U.S. where the label really allows us to compete on a level playing field in first line, we really do a good job. I believe we continue to gain market share. We are actually leading the market and in some countries in Europe like Spain as an example. And therefore, we see indeed a significantly more dynamic brands in ex-U.S. as compared to us. But in total as you have seen the brand is still growing.
James Quigley: Thank you.
Operator: Thank you. We will not take the next question. It comes from the line of Michael Leuchten from UBS. Please go ahead. Your line is open.
Michael Leuchten : Thank you very much. Michael Leuchten from UBS. Just going back to the Matthias. I think people are sort of slightly misinterpreting the book-to-bill ratio, given there's two components in it. One is the lead time and obviously there is the risk at least to some inventory being in the channels. I just wondered if you could talk to the visibility you do have on that? You did say at the CMD that you're not worried about. But I just wondered, given how uncertain times are -- is there actually visibility and how are you able to measure it? Thank you.
Matthias Heinzel: Yes. Thank you. Look, the book-to-bill ratio below one is something we expected, right? I want to echo what I said before, given the extreme high order book, a very high order book we have accumulated over time with a lead times coming down, the book-to-bill ratio will come down below one for the next several quarters. We do have good visibility indeed. It depends a little bit by business, right obviously, but in PS, we have a pretty good visibility given the lead times of still three, six months. So again, that gives us confidence. And again, I want to provide confidence that even book-to-bill below one or few quarters are not jeopardizing our commitment and confidence in the long term growth of the business.
Operator: Thank you. We will now take the next question. Please stand by. And the next question comes from the line of Florent Cespedes from - sorry, Florent from Societe Generale. Apologies, sir. 
Constantin Fest: Florent, please go ahead. Your line is open.
Operator: Florent, your line is open.
Florent Cespedes: Can you hear me?
Operator: A bit better now. Yes, sir.
Belen Garijo: Yes, we hear you.
Florent Cespedes: Okay. Good. Apologies. So thank you very much. Two quick questions. First, on Display Solutions. Could you please give a little bit more color on why you believe that you should see a little bit less deterioration going forward? Because is there any new capacity there? Is there any further pricing pressure going forward? So some color would be great on this front? The second question is on . Could you give a little bit more color on the situation in China for your different products, and also a specific point on facility in China and also in other countries? Thank you very much.
Marcus Kuhnert: Florent, let me take the display question first. And on display, what we see right now is in the market we participate, we haven't lost any market share. It's solely related to utilization, perhaps of our customers. They are down to a level that we haven't seen before. Even some lines are completely closed right now, because of reduced consumer demand. That is not going to last forever. They will return to a normal utilization of the, perhaps in the course of next year. Date to be seen. But it gives -- so since we haven't lost market share, that gives us confidence on the way forward that once they ramp up again, we participate in these ramp up again as our business is concerned.
Matthias Heinzel: Yes, Florent, thanks for your question. Sorry. Thanks for your question, Florent on China. I think that we have all to be aware that the lockdown situation is not over. There are still some smaller provinces with lockdowns. And as we know that our fertility business is a bit more exposed to those lockdowns in general. But again, we have seen a more dynamic situation in Q3 as compared to Q2 for fertility. But the situation remains obviously relatively fluent. On the other side of the spectrum, obviously, with Erbitux, we are much less exposed if exposed at all to lockdowns. And, actually, as I mentioned, I think at last call, we have a very, very positive momentum for Erbitux in China. We have now not only the CRC indication, but also the head and neck indication on the NRDL since the beginning of this year, so that's definitely a positive. And then last but not least, I would also highlight some of the CM&E brands. So, Euthyrox business, quite dynamic, our concor business quite dynamic and also Glucophage, that is now past, I would say the bottom of the wave of the PDP  process. So lots of moving pieces, but overall satisfactory performance.
Florent Cespedes: Thank you very much.
Operator: Thank you. We'll now take the next question. It comes from the line of Falko Friedrichs from Deutsche Bank. Please go ahead. Your line is open.
Falko Friedrichs: Thank you very much. So my first question is on the return of this display business, a follow up to the previous question. Is it realistic to assume that this return of the business could happen in the first half of next year? Or should we rather expect that to happen in the second half? And then my second question, can you speak a bit about the Bavencio performance in Q3? And whether all of that was in line with your expectations? Thank you.
Belen Garijo: Peter, take that first, Bavencio.
Peter Guenter: Yes. Well, Bavencio -- thanks for the question.You see that quarter-after-quarter, we have a nice growth, whether you compare versus the same period last year, or whether you compare sequentially. This is actually the sum of two effects, I would say number one, in countries where we have already launched, we continue to see momentum building on the use of chemotherapy and patients are eligible for platin. The adoption as the new standard of care of the maintenance regimen. And then of course, the use of Bavencio within that scheme. So this is actually continued to roll nicely. And then we have a second effect, which is, of course, the addition of what we could call late launch countries. To give you one example, we only had the pricing and reimbursement in Spain, I think it was around about five or six months ago, same in Italy. So this is typically in effect you see in those later, pricing and reimbursement countries. So a pretty homogeneous performance again, for Bavencio, U.S., Europe, Japan, other countries. So quite, quite happy with that. And I actually also at the latest ESMO conference, we were very excited to communicate that in a subgroup of patients who received the product now for more than 12 months, that mean overall survival was still not reached. And that the mean progression free survival was actually 26.7 months without any new safety signals. So we really have strong quick clinical benefit in this group of long term responders.
Kai Beckmann: So Falko, I'll take the display question. Is it possible to predict from today's standpoint, whether this is in first or second half. Just be reminded, this is 20% of electronics and 4% of the coop, so, I think we are not that nervous about when exactly this will return.
Falko Friedrichs: Okay. Thank you.
Operator: Thank you. We will not take the next question. It comes from the line of Oliver Metzger  from ODDO BHF Please go ahead. Your line is open.
Unidentified Analyst: Yes, good afternoon. Thanks a lot for taking my questions. The first one is also on display solutions. So you talked a lot about the expected recoveries, some when. But if I look on the underlying momentum for business also for over a multi year perspective, where's the clear downward trend right now verse and potentially too strong acceleration to the downside. But what does this mean for your -- from the scale of business? And so, are there any measures to rescale the business just as the business continues to be negative for a while? Second question is on the COVID related revenues. So your guidance stands still at the â¬700 million. So if you compare with fears about the resurgence of infection rates, or on incidences, nowadays, also the slowing vaccination booster rates, it seems that the corona related revenues have lower support than the couple of months ago. So according to my calculations, you had a â¬1.6 million tailwind COVID free. So would you -- I'm questioning, why is just stick to this $700 million, because earlier this year, you mentioned the â¬170 million quarterly run rate and my calculation ends at a lower amount?
Belen Garijo: So, Oliver, let me -- thank you, Oliver. Let me reiterate what Kai Beckman just said. Putting the display discussion into perspective, right, because at the end of the day, our electronic business today is made of semiconductors, is driven by semiconductors, the future of electronics is with semiconductors, which today represents already 70% of the revenues and is growing, as you have seen in the report Q3, growing double digit, solidly above markets, and very well positioned to compete. Now, display solutions would represent between 3% and 3.5% of the total group, right? And if you take that into consideration, when is the customer behavior going to come back to a more normal pattern doesn't matter much. I mean, we cannot predict when we are going to be and how fast this is going to ramp up. But what we are saying is that, is not going to make a difference to our midterm perspectives and the commitments that we have made into the market already. And for COVID, I turn it Matthias.
Matthias Heinzel: Yes. Thanks Belen. Let me address the COVID question. Indeed, we reconfirming. Our numbers for processor uses up to 450 million and after 250 and about 100 SLS, which would give you for this year about 800. Obviously, we have pretty good visibility about that. Having said that, obviously, we see a substantial decline. And we gave you an indication of more than 50% decline for next year. Obviously, that's based on the order intake, which was before as I talked about. But yes, clearly for this year, we confirm our numbers of 800 million with the composition I just explained.
Unidentified Analyst: Okay. Thank you.
Belen Garijo: Thank you.
Operator: Thank you. We will now take the next question. And the last question for today comes from Simon Baker from Redburn. Please go ahead. Your line is open.
Simon Baker: Thank you for taking my questions. And curious if I may, please. Firstly, on Life Science. We've talked extensively about lowered lead times. But unless I missed it, you haven't given us any indication of by how much those lead times have changed. Anything you could give us on the change in lead time? Because I was wondering if, as far as the book-to-bill ratio is concerned, we've been focusing on the impact of the numerator. But I was just wondering if the increasing capacity and the reduction in lead times has also been helping to bring down the book-to-bill temporarily. And then secondly, on semiconductors. There have been a number of suggestions and reports in the market that there is a slowing of the ramp in three nanometer rollout. I just want to be interested content know what you've been hearing, and your exposure and the importance to near term growth of the three nanometer ramp up. Thanks so much.
Matthias Heinzel: Yes. Thanks Simon, its Matthias. Let me address your lead time question. And indeed, the lead times across the portfolio in several areas have come down more than 50%. I don't want to talk about individual product lines, but NovaSeptum for example, our sampling packs went from 26 weeks to 13 weeks to give an indication. So I think we're making good progress and we are also making good progress with bringing the new capacity online. So this combination, obviously has the impact on the book-to-bill, which I explained. But we certainly need the next several quarters to overall across the entire PS portfolio to bring the lead times to a level which we had before. Again, we're making good progress. In many areas we have come down more than 50%. But we're not at the pre COVID level.
Marcus Kuhnert: Simon on their three nanometer delay, it's a pretty normal situation that new nodes or the latest technologies getting delayed, kind of the closer the launch date is expected. So there's nothing new. And even maybe on top of that, during downturns, what we have seen in the past downturns of the semi industry is there as an acceleration of no transitions. Since our customers have more tool time, as they are running below utilization. They used tool time to then start up new technologies. So all those players who are predominantly focused on high end technologies, that is our portfolio, have an advantage in this downturn situation, because there's an acceleration of no transitions. So I'm rather on this side of the picture optimistic, the three nanometer technology itself, that doesn't really matter in the larger scale.
Simon Baker: Thank you very much.
Marcus Kuhnert: These were all questions that we had. And with this, I'd like to hand over to Belen for closing remarks.
Belen Garijo: So, first of all, thank you very much for participating in our earnings call. I mean, if you take into consideration the macro environment and the implications on input costs on our business, I believe the way we have delivered in Q3 can be qualified as very strong growth, resilient growth. And these really, once again, speak of our diversified business model given us resilience. So at the same time that we continue to deliver short term solid quarterly results, we continue to drive and implement and execute on our strategic agenda. Why we believe the external headwinds are unlikely to assume. We have fully confirmed our guidance for this year and remain firmly committed to our midterm growth, ambition. With this I look forward to meeting many of you in the coming meetings and conferences. And goodbye for now.